Operator: Welcome to the First Quarter 2021 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call, participants will be in a listen-only mode. The presenters will address questions from analysts today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Paul, and good afternoon, everyone. Welcome to the Yield10 Bioscience first quarter 2021 conference call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our first quarter 2021 financial results. This press release as well as slides that accompany today's presentation are available on the Investor Relations Events section of our website at yield10bio.com. Let’s turn to Slide 2. Please note, as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. Now I'll turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Good afternoon, everyone, and thanks for joining our call. Since the start of 2021, we have made strong progress advancing Yield10’s business. Today, I’ll provide an update on how our business plans are progressing, Kristi will highlight our recent R&D accomplishments, after which I'll review the first quarter financials and summarize our key milestones for 2021 and beyond, then we will open the call for questions. Let's turn to Slide 3. I will focus here on several key accomplishments that set us on the path to crystallize our strategic vision for Yield10. We're utilizing Camelina as a platform crop to produce fuel, food and PHA bioplastics. Earlier this year, we reported achieving our key proof-of-concept milestone for producing PHA bioplastic in field grown Camelina. We’re scaling up the two best PHA Camelina lines up to 6% PHA by seed weight in our 2021 field test program. We plan to use seed from this for a larger scale planting in 2022 and initial PHA product prototyping. We engaged our leading U.S. seed company to perform see scale up over CRISPR edited E3902 oil content line, spring doubled haploid line, and the disease-resistant elite Camelina line. This cycle of seed scale up was enabled by plantings within California over this past winter. With permitting substantially complete, we have begun planting for spring 2021 field trial program in the U.S. and Canada. In January, the first U.S. patent was granted to Rothamsted Research for co-producing DHA plus EPA omega-3 oil in Camelina. In April, USDA-APHIS confirmed that our new CRISPR edited C3007 Camelina lines are exempt from regulation under 7 CFR part 340 under the SECURE Rule, a new crop regulatory framework in the U.S. In the first quarter, a U.S. patent was granted to the University of Missouri covering modifications to C3007 genes to increase oil content in oilseed crops. We have an exclusive license to this technology. We also strengthened the balance sheet now in 2021, which we anticipate will support the achievement of value building milestones into 2023. Let's turn to Slide 4. This slide illustrates how we are translating science innovation to revenue growth. Using our technology platform, the trait factory, we’ve discovered and evaluated multiple genes towards increasing crop seed oil content, and for making the oilseed products. As a result, we now have 21 patent families in prosecution, and two new recently issued U.S. patents. Our technology success enables two distinct revenue opportunities; improve Camelina varieties for our Camelina products business and trait licensing to major seed companies for using other crops. Let’s turn to Slide 5. Let me share with you why we’re excited about the oilseed Camelina under product targets. Camelina seed has a good oil and protein composition, and it's been used for human food production for over a hundred years. This crop can be used as a rotation crop in the Northwest and Canada, and its fast 90 to 100 day growth cycle makes it attractive as a really a cover crop in the Midwest or double cropping with corn and soybeans, another way to increase farm revenues, vegetable oil and food production. With our ability to accelerate its development by genetically reprogramming the seed to improve its field performance and produce higher value products, we believe there's tremendous upside for Camelina as a major crop. Let’s turn to Slide 6. We planned the sequential launch of products from our Camelina platform, each enabling increased farm and product revenue per acre, which we expect to drive farmer adoption. We estimate that there are two differentiating proprietary products, omega-3 oils and PHA bioplastics have the potential to drive 2030 annual revenue product potential of up to $4.2 billion. However, in order to get there we plan to establish the operating foundation of the business starting with elite Camelina followed by the higher value omega-3 Camelina to drive revenue, margins and cash flow. Today, we will focus on these two activities. In parallel, we will continue the development work in the commercial PHA Camelina lines. Crop internal productions indicate that we should then be able to commercialize the PHA Camelina based on cash flow from the business. Our elite Camelina used to produce oil and meal. We see the potential of our $300 to $500 in product revenue per acre as Yield10 oil content are approved in a market of hundreds of millions by 2030. We expect the markets for oil and meal will be supplied in the future using co-products for PHA Camelina based on this higher overall value. For omega-3 Camelina, based on the higher value for aquaculture and nutraceutical markets, we see a potential for doubling the product value per acre about $600 to $900, which is a high value opportunity requiring a limited acreage. We estimate 300,000 to 700,000 acres of omega-3 Camelina production would enable revenue in the range of $180 million to $630 million, a strong foundation for Yield10’s growth. For PHA bioplastic, we would aim to produce a higher value product mix of PHA bioplastics oil and meal. Given the magnitude of the plastics replacement opportunity, success with this product is expected to drive tens of millions of acres of adoption, and we project that by 2030 we could have 3 million to 4 million acres with revenue potential up to $3.6 billion. Let's turn to Slide 7. Our strategic goal is to establish the Camelina products business operations and develop elite varieties for the future deployment of omega-3 and PHA traits. This effort will require us to make new hires in the areas of seed operations, regulatory affairs, and business development. We are executing multi-acre seed scale up of the E3902, DH12 and disease-resistant lines, as well as engaging contractors for seed scale up plan for the fall/winter 2021 season for planting in 2022. Our guidance purposes, each acre of seed produced for planting can enable the planting of 100 acres to 250 acres of Camelina per production. In business development, we are reaching out to growers, crushers and oil/meal end users; oil and meal end users, sorry. These include renewable diesel companies, as well as salmon feed and farming players in North and South America. Renewable diesel may provide some tailwinds for this activity. Let's turn to Slide 8. Low carbon fuel standards are driving an emerging opportunity for the use of oil from elite Camelina in the renewable fuel space. Let me be clear, we will not be buying or subsidizing acres on behalf of energy companies and look to secure off-take agreements prior to moving to larger acreage production. According to a recent report in Biodiesel Magazine, there may be as much as 5.5 billion gallons of new or potential capacity in the U.S., which would translate to approximately 45 billion pounds of vegetable oil feedstock demand. It’s worth noting the oil company names and the list of participants in this activity. These may be potential partners where you'll turn. This new demand will face headwinds from the food V fuel debate as a disconnect between U.S. vegetable oil supply and demand grows. And this is where we may be able to take advantage of the short growth cycle of Camelina and its potential for double cropping with soybean oil. The oil from soybean plus the oil from Camelina in the same 12-month period could bring oil production per acre above 1,100 pounds per acre, more than double the oil from soybean alone. Food products from soybean and Camelina seed partially are protein meal for feed and food, generally where you'll turn in this space. I'd be planned to provide updates as we make progress. Let’s turn to Slide 9. Omega-3 Camelina opportunities at first and foremost are along our high value sustainable products. The omega-3 fatty acids, EPA and DHA are essential in human diets for development, health, and wellness, and come from only from fish. Farm salmon, an excellent source of omega-3s, is currently growing at 7%, per year – over 75% of salmon consumed. Aquaculture feeds current relies on a dwindling supply of omega-3 fish oil progesterone ocean harvested fish. Nutraceutical markets for omega-3s are adding pressure for this cash resource, creating a fish oil supply demand disconnect. We believe we can serve this market based on the agreement with the Rothamsted Institute of the EPA plus DHA omega-3 Camelina oil technology signed late last year. Our longer term vision is to establish Camelina as the gold standard sustainable vegan aquafeed source for farm salmon production, including essential EPA DHA omega-3 oils, high quality proteins and other feed ingredients. Let's turn to Slide 10. We are positioning these technologies to enable revenue and margin growth between the launch of our lead DHA Camelina lines. This technology is at a high readiness level and provides a significant market opportunity to bring a land-based drop-in replacement for fish oil to the agriculture market with additional potential in nutraceuticals. The technology developed by Rothamsted with 20% EPA plus DHA fatty acid and oil already exceeds the profile of Northern hemisphere fish oil. Professor Napier and his collaborators have conducted multiple years of field trials and fish rearing studies. Furthermore clinical studies with the Camelina EPA DHA oil are shown to be equivalent to fish oil from the human diet and oddly enough without the fishy taste, which opens up additional opportunities in nutraceuticals with a very low cost basis. Next on to Slide 11, we've been focused on developing the commercialization strategy for omega-3 oil in South America for the salmon feed market in Chile. We used the perspective value chain partners and the end-users underway in both Argentina and Chile and we are charting a regulatory path forward to enable the commercialization of oil and meal. Rothamsted team also continues to make progress. Our U.S. patent was granted to Rothamsted earlier this year, covering the co-production of DHA and EPA, and Camelina. The Rothamsted team plans for further seed scale off of the lead omega-3 Camelina line in 2021.  And later this week, Professor Napier is presenting a paper at the American Oil Chemists Annual Meeting, providing an overview of the development of omega-3 technology. In addition, one of his collaborators is presenting a poster on the human studies. We look forward to keeping you posted as we progress along the path toward commercialization of this exciting technology. Let's turn to slide 12. We currently have four nonexclusive research license agreements in place with Ag majors, each evaluating our traits and our target crop with the option to negotiate the commercial license. The arrows in the slide indicate the term of the research license agreements. In reviewing our priorities for 2021, we decided to defer further the internal trait development work in canola and corn and plan to seek partners with development of performance space in these crops. Related to the grade platform, we are seeing higher interest from the Ag sector and new crop traits. This may be driven in part by higher commodity prices and their unique technology approach. We also believe there's a growing recognition that a little CRISPR genome editing on the improved regulatory environment are very positive drivers for Ag biotech, the major challenge remains the efficient identification of high value gene phase. I'll now turn the call over to Kristi.
Kristi Snell: Thanks Oli. Hello everyone, 2021 is off to a good start. Our research team has made good progress with activities supporting regulatory permitting, field trial contracting, and the startup planning of our 2021 field testing program. We have also made progress on seed skill up for our lead Camelina line. With the spring program moving ahead, we are also taking in the steps needed to secure additional field testing and seed scale-up in contra seasons locations for fall 2021. Now let's turn to Slide 13. As the Camelina products business opportunity became clearer. We began working to deploy herbicide tolerance and disease resistant traits to create elite varieties as we develop the crop for commercialization. These are now our high priority as they are important for large scale adoption and provide value-add for the farmer in terms of cost, convenience, yield protection and farm revenue. Based on discussions with regulatory authorities and experts we believe that we can take advantage of the new more favorable regulatory environment in North America.  Here we are working to rapidly deploy well-known herbicide tolerance gene traits, previously approved in other crops with a long history of safe use and approval. As you know we are also progressing in number of performance traits aimed at increasing seed yield and oil content. These will provide benefits for farm revenue, oil and meal cost of goods sold and the lower the carbon intensity score of the oil for renewable diesel. Given the potential for disconnect in vegetable oil supply and demand. Our oil content traits may become increasing interest to third-parties. These traits include the E3902 line currently being scaled as well as C3007 and C3020 new oil trait from the green platform.  As we fully develop our Elite Camelina varieties, they will provide a high performance seed chassis for the commercial omega-3 and PHA bioplastic traits. Collectively the combination of traits in Elite Camelina varieties with value added products will enable crop diversification, increased farm revenue and provide low cost sustainable solutions to businesses and consumers. Now let's turn to Slide 14. As Oli mentioned, we have engaged the leading seed company to perform seed scale up of three Camelina lines. E3902, a CRISPR edited high oil line, DH12 doubled pathway to lead line and a third line, which is disease resistant elite line. Feed scale up of these lines in the spring 2021 season is expected to enable future planning of the 100 to 1,000 acre scale for subsequent larger scale planting, as well as for producing oil and meal for customer sampling. There is lead time involved for planning contra season seed scale-up therefore we are working to engage contractors for additional seeds scale up activities in fall/winter 2021. In the first quarter, we are focused on contracting and permitting for our 2021 field trials for sites in the U S and Canada. This activity is substantially complete and planting has already begun at some of the sites. In our field program this year, we will be planting elite Camelina germplasm varieties and Camelina with novel yield and oil traits. In addition, we will scale up our two best PHA Camelina prototype lines. Our team is also focused on developing elite commercial Camelina varieties with herbicide tolerance, disease resistance and improved seed yield and oil content. These lines will serve as platform Camelina varieties for nutritional oils and PHA traits. Our current scale-up work with DHA Camelina lines will allow us to expand a bridge for growth going forward, and to make pilot material for testing and product applications. We are also working on developing commercial events for the PHA Camelina trait to enable large acreage deployments. We continue to support our partners evaluating traits in our other commercial crops, and are also seeing increased interest from current and successful partners for new traits, from our grain platform to evaluate in their crops of interest. In-house, we continue to leverage grain in support of our Camelina activities with the new oil content trait C3020 going into field trials this year. I would like to thank our team for their hard work in 2021 and for staying focused on our priorities, this has positioned us to meet proof points for lead Camelina line development, to progress our PHA traits and to further develop our Camelina technology for specialty products. Oli, back to you.
Oliver Peoples: Thanks Kristi. Please turn to Slide 15 and let's cover a few financial highlights. We ended first quarter 2021 with 22.7 million in cash, cash equivalents and investments. During first quarter of 2021, we raised net proceeds of 12 million from a public offering of common stock as well as 3.9 million from the exercise of warrants. That's we're aligning our balance sheet with our business strategy. We have no debt. Our net operating cost usage was 2.6 million for the first quarter of 2021. We expect our cash on hand together with the expected revenue from our current government grant to support our operations into early 2023. We estimate that our net operating cash usage for the full year of 2021 will be within the range of 10 million to 11 million. This includes estimates for our contracted and planned seats scale up activities, as well as on hires and other support in business development, regulatory affairs and seed operations, as we direct this in vast investment towards executing our business plan. Let's now review the first quarter 2021 operating results. The company reported a net loss of 2.6 million for the first quarter of 2021, compared to a net loss of 3.6 million for the first quarter of 2020. Total research grant revenues in the first quarter of 2021 were 196,000 versus 179,000 in the first quarter of 2020. In the first quarter of 2021 research and development expenses are 1.3 million compared to 1.5 million in the first quarter of 2020. General and admin expenses were 1.4 million this first quarter of 2021 level with G&A expenses in the first quarter of 2020. For more details on our financial results, please refer to the earnings release.  Moving next on to slide 16 the upcoming milestones, in 2021 we will continue to focus on the following milestones, executing our 2021 field testing and seed scale-up program. Permitting a substantial complete and bonding underway we are on track. Continue to expand our lead Camelina germplasm collection, progressing the business plan for Camelina products which will include working to access year round or contra season seeds scale-up capabilities and obtaining the regulatory departments to transfer certain Camelina lines to South America. Advancing the commercial launch plan for Camelina omega-3 oils in South America, we are recently engaged to see service provider and business development support, broadening our capabilities, particularly in regulatory affairs, seed operations and business development either through hiring or other arrangements. Securing strategic industry collaborations to address market opportunities across the value chains enabled by our traits and products; and securing revenue based on generating commercial credit licensees, as we continued to expand our intellectual property portfolio, which is crucial for a small company and three recent patent grants are integral to this effort. With that, I'd like to turn the call back over to Lynne for questions.
Lynne Brum: Thanks, Oli. Paul, we're now ready for questions.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from Anthony Vendetti with Maxim Group. Please proceed with your question.
Anthony Vendetti: Thanks. Oli, I was wondering if you could talk a little bit more about these Camelina lines, the CRISPR edited ones? And just talk about where you're at with that opportunity. You have exclusive license to this technology. What's the timeline, next steps? What could we look at in the next…
Oliver Peoples: Yes. So basically there's a number of oil content traits that we’re working on, one is E3902, the one we're scaling up. That’s actually – that was all developed in-house by Kristi and her team. And it's actually already received approval from the USDA-APHIS, non-regulated or exempt from regulation depending on the particular words used by the regulatory authorities on any given day of the week. So the good thing is essentially it doesn't require to be treated as a regulatory product. So we have successfully scaled – done field trials with that for two years with a 5% oil increase. And when you begin to look at these markets, the growing demand for vegetable oil, obviously traits with increased oil content seed without impairing yield actually have considerable value. So that's one. The C3007 is in-licensed from the University of Missouri. It's a little complex because there's multiple copies of it. And what we're really doing is trying to optimize the combination of edits that are required to actually define that outcome. And then the third one that's progressing out of our GRAIN platform is an entirely new discovery. But again, Kristi and her team have actually engineered Camelina to overproduce this particular gene product and discovered that it actually increases oil by 10%. And a good way to think about Camelina, a 10% increase in oil given the higher value of oil is about the same value that’s up 10% increase in CGL. And obviously these are things that we think can be important, not only in Camelina, but potentially in other oil seed crops as well.
Anthony Vendetti: Just as a follow-up though, so how will Yield10 monetize this within the next 12 to 24 months? How do you see the progression and the opportunities for Yield10?
Oliver Peoples: Yes. So right now, I mean, I think, for the first time you'll see in our presentation, we talk and dedicate a whole slide to this whole renewable diesel driver. Now that's been coming for a while, but I think it's becoming much clearer. It's actually creating a significant supply demand disconnect. So obviously to meet that demand, the petroleum-based diesel companies are literally going to have to source low carbon intensity renewable feedstocks from now, primarily from vegetable oil. I think the story around using waistband and everything is kind of going to be used up. So this is all going to have to come from additional supply of vegetable oil, which opens the door to Camelina as a potential source of oil feed stock for that application. Now, keep in mind, the fuel spaces is very cost sensitive. And so, although, we are looking at this, the reason we're scaling up these seeds this year, and I plan to scale them up farther over the winter is to be able to plant much larger acreages as we move ahead, pending the execution of agreements for off-take with some other companies in that space. And so we're positioning ourselves to go forward and scale this up to generate revenue. But of course, we're not going to do this at risk on behalf of oil companies. That just doesn't make any sense to us.
Anthony Vendetti: Sure. Yes. So in the interim – last question before I return it to the queue, are there any additional grants that you see here on the horizon in the next three to six months, or anything new that you're working on?
Oliver Peoples: So I think we’re always working on new grant applications. And one thing that's really I think interesting with the new administration is suddenly you're seeing a much greater emphasis on carbon management, climate change, low carbon technologies, carbon sequestration, and ultimately, the importance of agriculture in that area is potentially very, very large. So we're well aware of what's going on. And we do routinely look for additional funding opportunities that we don't typically disclose what we've applied for until such times as we get feedback from the agencies. So we know that there's opportunities out there. And as we've done in the past, we plan to seek non-dilutive financing where we can get it.
Anthony Vendetti: Sure. Okay, great. I will turn it back over to the queue. Thank you very much.
Lynne Brum: Thanks, Anthony.
Operator: Thank you. Our next question comes from Amit Dayal with H.C. Wainwright. Please proceed with your question.
Amit Dayal: Thank you. Hi, guys. With respect to the field trials occurring, what are the targets or results we are aiming for? Any color on kind of improvements we might be looking for?
Oliver Peoples: So there's – obviously, there's a number of things going on in these field trials this year. Obviously first and foremost we're scaling up some of these new lines, C3902, DH12 on a disease resistant Camelina line. The goal there is to secure large amounts of essentially high quality seats for subsequent further scale-up in planting. That's going to be one outcome. The second outcome is we continue to look at the performance of our oil content traits on the C3004 trait in particular. We have mix impact on photosynthesis and plant figure, potentially yield. And then of course we are progressing scale up of the two best PHA Camelina lines. Now, I think we've been very clear with the investor community that we see the PHA, the PHA Camelina obviously is having enormous potential value, but we've also been pretty clear that it will be the third product launch after the omega-3-3 oil. So we know we've got work to do to develop commercial quality lines, but in the meantime we're scaling it up for a couple of reasons. One is to enable even larger planting in 2022, and that's really to support for product development work. We do plan to do some basic analysis and extraction PHA from the lines end of this year, assuming successful scale up. But the goal is to really begin to develop the system, to enable this to be commercialized at very large scale. And the sooner we can begin to generate data on the PHA Camelina processing a PHA Camelina, but also to begin the regulatory analysis associated with getting it approved, provide a lot of skill planting obviously the sooner we get that started the better.
Amit Dayal: Okay understood. With respect to your efforts in South America, is there a specific reason why you chose Argentina and Chile for the initial commercialization?
Oliver Peoples: I'll give you, yeah. The omega-3-3 oil is a really exciting product and obviously Europe has a kind of an odd moratorium on the use of GM feed ingredients in farm salmon, the Norwegians were some dubious reason, prefer to harvest polluted fish from the ocean and extract oil and meal from that and then feed it to salmon. That's completely not sustainable and it's actually devastating native caches around Africa from South America. So that's really something that's going to have to stop. But in South America and Chile in particular, they have a mandate to begin to move away from harvest to fish and that drive is making the industry down there, very interested in dropping replacement alternatives to the harvest these fish. And so we really see as a sort of way to launch this outside of the North America, where there's still an intellectual property challenge, but also to address the second largest market in the world with the same feed companies that actually are the main suppliers in Norway, which is if you like the large production area with about 60% market share, Chile has around 30%. The other area we believe we'll be addressing in 2025 is really North America because of the growth of inland agriculture, where you're seeing people farming salmon in Florida, California, Maine, Indiana, New York state. Something I never thought I'd ever see, but it's actually growing considerably with very large investments going in to create what they call a closed loop aquaculture systems for salmon production.
Amit Dayal: Great. Understood, that's interesting. Thank you for that. Just last one from me, with respect to the feedstock opportunity that the renewable diesel side of things. Have you started having any discussions with any of these companies that you highlighted in the slides are, just names of some leaders that are looking into the RD business? Just wanted to get a sense of where you are with those discussions.
Oliver Peoples: Yeah, it's obviously I would say there's been outreach to Yield10 and I will be responding to it. And that's really how this has sort of begun to manifest itself, Amit. So we will provide additional color as we go forward here. But what we do see is we see these investments going in, the law in California, now Oregon, Washington State, Canada and Europe is requiring them to do this. And so a certain amount of their diesel fuel they sell has to be based on low-carbon intensity feedstocks. And so this is something they more or less have to do, which is why the capital investments are going in. But when you look at these oil companies and you look at the scale of this globally, and obviously securing supplies of feedstock for those opportunities are going to become really, really important to these companies.
Amit Dayal: Understood. That's a long way. Thank you so much.
Oliver Peoples: Thank you.
Lynne Brum: Thanks a lot.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Lynne Brum to – for any closing comments.
Lynne Brum: Yeah, thanks Toll. And I'd now turned the call to Oli for his closing remarks.
Oliver Peoples: I'd like to personally thank all of you for joining us on the call tonight. And especially our shareholders for your continued support, 2021 is off to a good start with the field trial and seed scale-up activities are well underway. We are focusing on promising market opportunities for oil and meal from our elite Camelina as well as in the Rothamsted omega-3-3 technology as a sustainable drop-in replacement for fish oil. I want to thank everyone at Yield10 for setting us on track to reach your goals in 2021. Have a nice evening.
Operator: This concludes today’s conference.
Lynne Brum: Thank you everybody.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.